Operator: Good day, and thank you for standing by. Welcome to the Sangamo Therapeutics Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that this call is being recorded. I will now turn it over to Louise Wilkie, Head of Corporate Communications and Investor Relations. Please go ahead. 
Louise Wilkie: Good afternoon. I'm Louise Wilke, Sangamo's Vice President of Investor Relations and Corporate Communications. Thank you for joining us on the call today. On this call are several members of Sangamo executive leadership team, including Sandy Macrae, Chief Executive Officer; Mark McClung, Chief Operating Officer; Prathyusha Duraibabu, Chief Financial Officer; Jason Fontenot, Chief Scientific Officer; Nathalie Dubois-Stringfellow, Chief Development Officer; and Bettina Cockroft, Chief Medical Officer. Slides from our corporate presentation can be found on our website, angamo.com, under the Investors & Media section on the Events and Presentations page. This call includes forward-looking statements regarding Sangamo's current expectations. These statements include, but are not limited to, statements relating to the therapeutic and commercial potential of our product candidates -- the anticipated plans and time lines of Sangamo and our collaborators for initiating and conducting clinical trials, dosing and screening patients and presenting clinical data, advancement of our product candidates, advanced with the preclinical programs to the clinic, our investment focus and the sufficiency of our resources, our 2022 financial guidance, upcoming catalysts and other statements that are not historical facts. Actual results may differ materially from what we discussed today. These statements are subject to certain risks and uncertainties that are discussed in our filings with the SEC, specifically in our annual report on Form 10-K for the fiscal year ended December 31, 2021, as supplemented by our quarterly report on Form 10-Q for the fiscal quarter ended September 30, 2022. The forward-looking statements stated today are made as of this date, and we undertake no duty to update such information, except as required by law. On this call, we discuss our non-GAAP operating expenses. A reconciliation of this measure to our GAAP right operating expenses can be found in today's press release, which is available on our website. Now, I'd like to turn the call over to our CEO, Sandy Macrae.
Sandy Macrae: Thank you, Louis, and good afternoon to everyone on the call. Sangamo continue to pursue scientific innovation and development excellence in the third quarter as we progressed our mission of turning groundbreaking science into potentially transformative genomic medicines for patients. I am pleased with the momentum we are achieving across our programs with our clinical data continuing to demonstrate the strength of our pipeline. Regarding our wholly-owned Fabry disease program, we were excited to present additional preliminary data from our Phase I/II STAAR study at 3 separate medical conferences since the last call. We continue to be encouraged by the promising data generated to date, showing sustained and elevated Alpha Gale activity along with our favorable safety profile was of the last data cut in July. These data demonstrate the potential of this therapy to replace the current standard of care and provide the potential for a onetime dosing alternative rather than a lifetime of ERT infusions. I'm also pleased to share that this study has moved into the dose expansion phase, and we've begun dosing patients, including the first female patients in the study. We continue to make progress in our wholly owned sickle cell program this quarter, dosing the sixth patient in the Phase I/II PRECISION study. This is the second patient to be dosed with our product candidate manufactured using improved methods. In addition, the FDA has granted regenerative medicine advanced therapy or RMAT designation to our sickle cell product candidate. Momentum continues behind our Phase I/II steadfast study of TX200 in HLA-A2 mismatched kidney transplantation. I am pleased to announce that the second patient was successfully dosed in late September, while the first patient has reached 8-month post-infusion. Lastly, we jointly announced with Pfizer on September 22 that the Phase III APINE trial in hemophilia A had reopened recruitment. Trial sites resumed enrollment in September and dose expect to do resume shortly. The resumption of this study is an important milestone as it takes us with our partner, Pfizer, one step closer to getting this potential treatment to patients in an area of significant unmet medical need. I'm proud of the team for the advancements we continue to make, staying true to our strategic focus on our research and development capabilities. Each incremental update brings us closer to our goal of creating transformative medicines for patients while creating long-term value for shareholders. I'd like to turn the call over to our Head of Development, Natalie, who will discuss the data from our clinical programs in more detail. Natalie? 
Nathalie Dubois-Stringfellow: Thank you, Sandy, and good afternoon to everyone on the call. We had several promising updates in the third quarter and are pleased with the progress being made across our clinical program. In February, a fifth station was withdrawn from enzyme replacement therapy in the Phase III STAR clinical study, evaluating Israel CEVA Parvovec, or ST-920, our only owned gene therapy product candidate for the treatment of Fabry disease. This marked the fifth and final patient in the dose escalation phase, who started the study on ERT to have been withdrawn from ERT. All subjects report they are not experiencing changes in symptoms and has not required assumption of ERP. After receiving endorsement from the Fabry Phase I/II study safety monitoring committee to progress to the dose expansion phase, 5 patients have been dosed in this expansion phase at the 513 be dose level, including the first 2 female patients in the study. Momentum also continue with additional patient currently screening and awaiting dosing, including more female patients. Since the last call, we were proud to present updated preliminary Fabry data at 3 medical conferences. In August, we presented data at the Society of the Study of inborn errors of metabolism, SSIEM Annual Meeting in Friberg, Germany, presenting data on 5 patients as the February 14 data cut. Last month, we provided further update at the 29th Annual Congress of the European Society of Gene and Cell Therapy, ESGCT in Edinburgh, Scotland as well as the national organization for rare disorders nor conference in Washington, D.C. At both this event, we presented data as of July 21, 2022, presenting for the first time data across all 4th dose cohort in the dose escalation phase. All 9 treated patients exhibited sustained elevated alpha activity ranging from nearly twofold to 30-fold of MIM normal for almost 2 years of follow-up in the longest treated patients. All patients exhibited above normal of alpha-gal activity by 5 weeks after dosing. And importantly, also patients in long-term follow-up maintain elevated alpha-gal levels for 1 year or more. We remain encouraged to see durability of effect for these lines of time. Also of note, 4 patients have undergone ERT withdrawal as the cutoff date and continue to maintain elevated alpha-gal activity up to 28 weeks post withdrawal. The 2 subjects with substantially higher elevation in plasma lyso-Gb3 pretreatment show a 40% and 55% reduction from baseline in license B3 level, respectively, after ST-920 dosing. Importantly, ST-920 continued to be generally well operated in the 9 treated patients with no treatment-related adverse event higher than grade 1, except for one grade 2 per Axia -- no treatment-related serious adverse events were reported. Of note, no subjects have been treated with steroids, either prophylactically or reactively and there have been no liver enzyme elevation requiring treatment. Since our last call, additional site in this global study have been opened, including the first in Asia Pacific, and we're actively preparing additional new sites. You can expect further clinical update from the STAR study, including the first data from the expansion cohort in the first half of 2023. We continue to actively plan for a potential Phase III study are engaging with health authority, patient advocacy group and investigators. In the Phase I/II PRECISION study of BIVV003, a zinc finger nuclease gene edited cell therapy candidate for the treatment of sickle cell disease, now wholly owned by Sangamo, we dosed the 6 patients. This is the second patient who have been dosed with a product candidate manufactured using improved method shown in internal experiment to increase the number of long-term progenitor cells in the final product. We are pleased to continue to be making progress in the Phase I/II study and look forward to providing additional update at an appropriate time. As Sandy mentioned earlier, on August 24, the FDA granted Sangamo's request for Regenerative Medicine Advanced Therapy, or RMAT designation for BIVV -- our MI designation is granted to retinal medicine therapy intended to treat, modify, reverse or cure a serious condition for which preliminary clinical evidence indicates that this medicine has the potential to address an unmet medical need. The RMAT designation includes all the benefit of the fast track and breakthrough therapy designation programs, including early interaction with FDA. Furthermore, we were accepted to participate in a poster presentation at the upcoming 6 American Society of Hematology or ASH Annual Meeting and expositions, taking place in New Holaniana, December 10, 13, 2022. We look forward to presenting updated clinical data then. Finally, Phase III study design, enabling activities and manufacturing readiness are in progress. Progress continued in the Phase I/II CETP study, our OE-ownTX200 CAR-Treg cell therapy candidate for the prevention of immune-mediated rejection in HLA-A2 mismatch kidney transplantation from a living donor. The second patient was dosed in late September, and I'm pleased to report that the product candidate continues to be generally well terated in both patients. To control patients have been enrolled and transplanted demonstrating ongoing interest in this study. We will provide further guidance on timing for dosing of the third patient when the transplant has been scheduled, and we have confirmed a potential dosing date. Finally, regarding the Phase III AFFINE trial, evaluating giroctocogene fitelparvovec an investigational gene therapy for hemophilia A, we jointly announced with our partner, Pfizer, that's the trial has reopened recruitment. Trial sites resume enrollment in September and dosing is expected to resume shortly. A pivotal readout is expected in the first half of 2024. In addition with our partner, Pfizer, we've been accepted to participate in a poster presentation at ASH, December 10 to 13, 2022, providing updated clinical data on the Phase I/II ALTA study. We look forward to sharing updated data in December. I will now turn the call over to our Chief Scientific Officer for updates on our preclinical research program. Jason?
Jason Fontenot: Thank you, Natalie, and good afternoon, everyone. I'm pleased to report that we continue to leverage Sangamo's cutting-edge genomic engineering and cell therapy platforms to advance both wholly owned and partner programs towards the clinic. We are also making remarkable progress in our preclinical programs as well as expanding our proprietary genomic engineering toolkit and developing novel AAV capsids to enable more effective therapeutically relevant delivery of these tools. The Sangamo team had multiple presentations at this year's European Society of Gene and Cell Therapy Annual Conference, including work describing the use of our proprietary zinc finger nuclease platform to engineer both allogeneic, healthy donor regulatory T cells and autologous paces. Additionally, data from preclinical studies performed with our collaborators at the Massachusetts Institute of Technologies Broad Institute were presented at the International Prion 2022 Conference in Building in Germany this September. We were thrilled to hear the strong feedback from key opinion leaders at the conference. We expressed their excitement with the science and its potential for patients in need. This work demonstrated the ability of Sangamo's engineered zinc finger protein transcription factors to specifically reduce prion protein expression in the brain and significantly extend the survival in a mouse model of prion disease. We look forward to providing updates on this and other programs in the future. I will now turn the call over to our Chief Financial Officer, Prathyusha, for an overview of the financial results. sushi? 
Prathyusha Duraibabu : Thank you, Jason, and good afternoon, everyone. Our detailed financial results for this quarter are available in the press release issued this afternoon, which can be found on our website. We ended the quarter with approximately $350 million in cash, cash equivalents and marketable securities, which represents a net decline of $14 million from the prior quarter. This reflects our proactive approach to both prudent capital management and balanced capital raises in these uncertain markets and speaks to the continued investor interest in our company. We raised approximately $75 million in net proceeds under our aftermarket offering program since the beginning of the year. We continue to focus our investments in 3 key areas: advancement of our clinical programs, including Fabry, sickle cell and TX200, progression of our preclinical cotriand CNS pipeline and optimization of our in-house manufacturing capabilities. Turning to our 2022 full year guidance. We expect our full year non-GAAP operating expenses to be lower than previously guided and land between $280 million to $290 million. This range excludes estimated noncash stock-based compensation expense of approximately $35 million. We expect a significant portion of our operating expenses to be invested in the continued advancement of our lead programs, including Fabry Phase III planning activities, Phase I/II activity for sickle cell disease and TX200 and preclinical work in CAR T regs and genome engineering indications in the central loves system. I will now turn the call back to Sandy for closing remarks. 
Sandy Macrae: Thank you, Prathyusha. We are pleased with our achievements during this quarter and the progress we have made across our clinical and preclinical pipeline. We are a clinical-stage genomic medicine company, building momentum with our novel science, clinical execution and in-house manufacturing. The progress this quarter takes us one step closer to delivering potentially transformative therapies for patients in need while creating long-term value for shareholders. I'm so proud of our team here at Singen who worked tirelessly to advance our programs and carry out our mission. We are delighted with the positive momentum and look forward to updating you in the near term with several expected milestones, including presentation and as of the updated Phase I/II data in sickle cell disease, presentation at ASH of updated Phase I/II data in hemophilia A. Additional Phase I/II Fabry data in the first half of 2023, including additional ERT withdrawal data and the first data from the expansion phase and dosing of the third patient in the Steadfast Phase I/II study. At this time, we would like to open up for questions. Operator, please open the line for questions. 
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions] Our first question comes from Gena Wang with Barclays.
Gena Wang: I have 2 questions. The first one is the sickle cell at the ASH and we all saw the abstract released earlier today. So it seems like a placeholder, a data cut off May 3. Just wondering at the full data presentation, we see 2 more patients at ASH? And then my second question is the Fabry program. So regarding the expansion cohort data in first half '23, will you hear the 5-patient data? Or will we see the more patient data beyond current inroad those 5 patients? And also, what type of data will you be sharing? Would that be mainly on the biomarker data like Alphagan the license, what kind of clinical profile be your goal to move to the next step.
Sandy Macrae: Gena, thank you for your question. So as I understand, you're asking a question about sickle and a question with Fabry. So I'm going to pass sickle over to Natalie and then Bettina will cover the February question. Natalie?
Nathalie Dubois-Stringfellow: So patient 5 in the trial was dosed in May 2022, and it was the first patient to receive a product candidate manufacturing using the improved process. We expect to share early preliminary data from this patient at ASH in December via poster presentation, along with an update of the first patient dose. 
Jason Fontenot: So Gena, thank you for the question around Fabry. So we are -- as you have seen, we're very excited actually to be sharing that we have now dosed 5 patients in the expansion cohort. That brings us to a total of 14 patients dosed in the Fabry study, of which if you do the math, it means we have 7 patients treated at the highest dose level. We do believe C920 has the potential to provide an alternative to the current standard of care. We will be sharing as we pointed out in the first half of 2023 data from both additional data from the dose escalation as well as the early data from the expansion cohort patients, and this will include biomarker data as well as additional clinical data, the exact nature of which we will share in the first half, so in early 2023. 
Operator: Our next question comes from Luca [ph] with RBC.
Unidentified Analyst: Perfect. This is Lisa on Ziluca. Two on par for you today. First is on the data. Just wanted to follow up on the baby data presented at ESGCT last month. I think we noticed there was at least one patient who is withdrawn from ERT, but subsequently had an increase in the plasma alpha-activity after the withdrawal. So I was just wondering how we should rationalize this response given you would expect that the alpha-gal levels to drop after the ERT withdrawal? And secondly is on the Phase III planning. You said -- you reiterated this today at a base rate planning is underway. Just wondering if you've had discussions with the FDA here on what a Phase III could look like, what would be the primary endpoint and what you would need to show in terms of durability given this is a gene therapy approach. 
Sandy Macrae: So thank you for your questions, and thank you for paying such attention to our ESGCT presentation. So I'll help -- I'm going to pass this over to Betina, but I'll help her a little with the second part. We've had -- we've had a lot of time to plan and think about the Phase III study. We've spoken to the agency, and we'll share the details of that study neither this time. So forgive me because I know how interested everyone is in the details of that study. Bettina, can you answer the first part? 
Bettina Cockroft: Absolutely. Thank you so much for that question. So on patients on ERT who have withdrawn from ERT. -- you asked about the Alphaga, activity expression. We do expect AlphaGale expression to be sustained over time, and that's what we are seeing, not only in patients who were naive or pseudo naive, but also patients on ERT who are withdrawn from ERT. That is the objective of our therapy. And in fact, we believe that ST-920 has that potential to provide an alternative to the current standard of care of ERT. If you were referring to plasma lyso-Gb3 levels, the specific patients are all doing well. The plasma lyso-Gb3 remains within the range seen in patients on ERT. The investigators are happy with the data and the patients remain off ERT. I hope that addresses your question. 
Sandy Macrae: And I would encourage you to remember that this is a cutting-edge clinical science. These are the first patients that we have all gathered data on with this treatment, the withdrawal of ERT and the early data that you've seen is with the lowest dose response. We hope we plan to be withdrawing high dose, the dose we've chosen to go forward into Phase III and show patients withdrawn from ERT with that. The other thing I would ask you to think about is even for patients on ERT when we added in our gene therapy, they showed additional benefit. And I think this is sometimes overlooked. Patients who have been on ERT for a long time, who then got the gene therapy reported feeling better that they were sweating and there was evidence of stabilization or even improvement of their cardiac function, really speaking to the power of this medicine. 
Operator: Our next question comes from Nicole Germino with Truist.
Unidentified Analyst: This is Alex on for Nicole. For the CAR-T rent platform, would you consider outlining or engaging in other collaborations with pharma? And if so, could you provide some color on the types of partnerships that you would consider that might work best for Sangamo. And related, what are your thoughts on big pharma dropping some IL-2 programs that we've seen in the news in autoimmunity. And does this change? Or does this pave the way for CAR T regs in the space? 
Sandy Macrae: Mark, you run our business development group. Would you want to talk to that? 
Mark McClung: Sure. Thanks for your question. So obviously, we're excited with the progress that we're making with Tregs, where we believe we're the first company to have dosed a patient as we've communicated earlier. Our commitment is to continue to move forward with that study and drive it towards a proof of concept. If companies do approach us similar to what we've done in the past, if they can bring resources know-how and funding actually to accelerate the patients -- accelerate the therapy to patients faster than we can, we will always evaluate that. But we're not commenting on any current conversations that we might be having in that regard.
Unidentified Analyst: And also on -- we've seen in the news some big pharmas in dropping IL-2 platform. Have you seen this? And do you have any comments on that? 
Sandy Macrae: Jason -- to our Scientific Officer; Jason, would you be able to comment on IL-2 and where we fit in amongst the range of Greg programs? 
Jason Fontenot: Yes. Thank you, Sandy, and thanks for the question. I think the latest news that I'm aware of on the forma dropping an IL-2 program was related to the use of IL-2 in oncology, which is a different approach than some of the IL-2 mutein that are being explored to enhanced T-reg biology. But whichever the case is, it's important to point out that while IL-2 mutein can be used to expand regulatory T cells and do offer a potential for therapeutic benefit in autoimmune disease. It's a fundamentally different approach because it relies on systemic delivery of that IL-2 and increasing regulatory T cells in the entire body of the patient. The approach we're taking with car regulatory T cells is to target the regulatory biology and cells using the chimeric antigen receptor to the relevant tissue. And so that's a much different proposition where the kind of immune regulation that the regulatory T cells afford is directed in a kind of specific and very potent way towards the tissue where the autoimmune pathologies occur. Moreover, the IL-2 new teams despite best efforts, still do have some reactivity with effector T cells and NK T cells. And so this is confounding any interpretations of the effectiveness of those because by also hitting effector T cells, one runs the risk of actually exacerbating autoimmune disease. 
Unidentified Analyst: Thank you, Jason, for the color.
Operator: Please stand by for the next question. Our next question comes from Yanan Zhu with Wells Fargo. 
Yanan Zhu: A question on Fabry's and a question on sickle cell program. So for the fabless GCT presentation, I think you alluded to this earlier. It looks like the lyso-Gb3 levels increased in patients who discontinued ERT. But since that data cutoff is rather early dry '21 and 2022, it's been quite a few months since that data cut off. And I think you mentioned nobody has resumed ERT. So I was just wondering, could we take that as meaning those patients have somehow stabilized their lab levels. And could you also remind us what's the criteria for resuming ERT? 
Sandy Macrae: Thank you for your questions always. Betina, can you give us some clarification on that, please? 
Bettina Cockroft: For sure. Thank you for that question. So we were very pleased to present the latest Fabry data at ESGCT. We -- I can confirm that we now have 5 patients who are off ERT and that none of them have resumed EOT therapy. The investigators are happy with the data they are seeing, including the plasma lyso-Gb3 data they are seeing. And in terms of criteria for resumption of ERT, that is really dependent on a series of biomarker and clinical data and ultimately, a decision of the investigator with the patient. And so far, those patients are doing well. 
Sandy Macrae: I think that's the most important thing there is it's an investigator call. The patients are doing well, and therefore, the investigators comforted to keep them off. And at the levels you've seen are similar to what other patients on ERT would have for their list GB3. 
Yanan Zhu: Indeed. Got it. That's very good to hear. For the sickle-cell program -- you talked about Phase III design and manufacturing readiness are underway. I was wondering how much of those progress has been informed by what you saw in patient #5, the patient on the new manufacturing product? And also, do you plan to pursue this program by yourself? Or how urgent is it to find a partner for this program? 
Sandy Macrae: Natalie, can you answer that one? 
Nathalie Dubois-Stringfellow: So we're currently -- thank you for your question. We're currently focused on completing the Phase I/II study and progressing Phase III enabling activities. We're really excited to have this program in our hand, and we're planning to take this program forward, assuming the data continue to support a Phase III program. So the second cohort, those next patient that have -- it's not a cohort, sorry. The next patient that have improved manufacturing will be very informative to see if we have a body of evidence to continue to Phase III. But we're planning ahead and you'll have to wait for ASH poster to see a little bit more data. 
Yanan Zhu: Got it. And partnership incentive initiatives? 
Sandy Macrae: We -- our intention is always to do the best for the program. Our intention is to gather the data, and so we won't really see the full data set from the new improved process until first quarter, first half of next year. And at that point, we'll make the necessary decision. We look at it as whether we do or whether a partner does it, it's getting a successful mention to patients. That's the important thing. 
Operator: And for our next question -- our next question comes from Greg Harrison with Bank of America.
Unidentified Analyst: This is Mary [ph] for Greg. I guess regarding Fabry, as you approach the trial, could you comment on the physician and patient efficacy interest in the gene therapy for Fabry and the impact of ERT freedom in this population? Maybe what is clinically meaningful here? 
Sandy Macrae: Your line is hard to follow. Could I ask you just to repeat the proxy the question, please. 
Unidentified Analyst: Yes, absolutely. So as you approach the Phase III trial, could you comment on the position and you should advocacy interest in the gene therapy and also the impact of ERT freedom in the poles... 
Sandy Macrae: Okay. And Mark, I think this is maybe one for you. 
Mark McClung: Thanks for the question. So first of all, I mean, just as a general rule, we actually engage with efficacy very early, actually prior to Phase 1 and work with them to provide input into our protocol designs but also to better understand the patients. We also bring patients in to speak to us to share their disease so that our scientists and researchers and developers actually can really understand what the patient requirements are. So that's something that we're particularly proud of. And I think based on my experience, Sagawa does incredibly well. In terms of next steps, we'll provide next steps at the appropriate time. But I think I think that we're making great progress with the program. I think it's important that we finalize the details of that, and then we can provide the appropriate guidance to you later. 
Operator: Our next question is from Kelly [ph] with Stifel.
Unidentified Analyst: This is Kelly [ph] on for Ben Burnett. I just had one quick question actually regarding some of your preclinical programs in brain disorders such as the prions, the disease, tau therapies, Huntington's. I was wondering if you could talk about these a little bit in more detail and just maybe when you'll be seeing these maturing into the clinical phase. 
Sandy Macrae: Thank you for your question. We would love to share more about them. Unfortunately, in these partnerships, the communication on those is controlled by the partners. But what I would want to reassure you is that people around the table here sit on steering committees, development committees, research committees with the partners, and they're moving forward. And so we almost have a hidden early portfolio that is in our partners' hands. They're passionate about them. They love the science of Sangamo, and we hope to be able to say more soon as they get through the milestones and towards the clinic -- we -- did you also ask about prior? Jason, I know how excited you are about the Prion results. Can you touch on that because I think it is a remarkable piece of science.
Jason Fontenot: Yes. Thanks, Sandy. Yes, one of our scientists, Bryan Zeitler from Sangamo presented at Prion 2020 earlier this year, data that Sangamo has generated in collaboration with the Broad Institute at the Massachusetts Institute Technology, where we were studying the ability of our zinc finger transcriptional repressors to be delivered to the brain of mice in a mouse model of preowned disease and repress the expression of prion protein and thus prevent the spread of pre-owned disease. And the data that was generated there was really remarkable. -- compared to control and compared to other approaches that we've known have been tried in similar models such as the ASOs, the ability of the zinc finger transcription of repressors to potently repress pre-one-protein expression and dramatically extend the life of the mice in this mouse model of prion disease were very impressive and several key opinion leaders in the field, international experts and Prion disease made comments about how impressed they were with the data. I think there was even one comment that it was the most exciting data of the conference. So this is a program that we're very excited about. It's a wholly owned internal program, and we are exploring moving it forward into humans as soon as we can. Of course, there are additional complications. This was mouse data. And now we're dealing with the next steps to put together aces that would allow us to move it forward into an IND for testing in humans if possible. 
Operator: Our next question comes from Ritu Baral with Cowen.
Ritu Baral: I wanted to ask about the profile of the female Fabry patients that you guys enrolled. Are they on the full ERT dose? And I'm wondering about their kidney versus potential cardiac involvement or aspects of their disease. And further, in this expansion cohort, is there a target number of female patients that you're looking to enroll to inform the Phase III? And then I've got a follow-up.
Sandy Macrae: Thank you. Thank you for your question. Yes, it's exciting we've moved into female patients. Bettina, can you give any more color on them? 
Bettina Cockroft: Yes. So for sure, I mean, what we have done in terms of the patient characteristics, you can see that data. There's a lot of detail in our ESGCT slides. So we have patients with various characteristics. We do plan and the protocol allows up to 30 patients to be dosed as part of the expansion phase, and that includes both males and females. It also includes a renal cohort, a cardiac cohort. So we're not guiding at this moment as to the details of how many patients we have or plan to have in those specific cohorts, but we'll be making an update in early 2023 around that. 
Sandy Macrae: Bettina, I hope I'm not most speaking here, but there are 5 different cohort potentially 5 different cohorts. 
Bettina Cockroft: That's right. And I think we presented that at ESGCT. We have one cohort with antibody-positive patients, another one with antibody-negative patients another cohort is female patients. Another one is a renal cohort and another one is a cardiac cohort. And of course, these latitude cohorts can include both male and female.
Sandy Macrae: So the females could be that cohort plus females with other forms of the disease. Does that help? 
Ritu Baral: It does. That's helpful. And then can you guys comment on where you stand on CMC for commercial product for the potential launch of that pivotal Fabry, especially on things that have tripped up other sponsors, assays, validation of assays potency assays, all that sort of thing. 
Sandy Macrae: So we take that part of development as seriously as we do the clinical piece of the clinical piece -- I'm glad you've asked that because I know the clinical piece gets the most airtime and excitement. But the only way to develop these medicine is paying attention to the CMC and the manufacturing. And we're very under control. We have everything set up to go for both the Phase III and commercial... 
Ritu Baral: Got it. And can I squeeze one last question in. Can you elaborate, Sandy, a little bit on the biopsy schedule for patients in the expansion cohort? 
Sandy Macrae: Absolutely. So for patients in the expansion cohort, well, first of all, we do have 2 patients from cohort 4 who are naive patients for whom we have collected biopsy data. And we -- those are the earliest patients with kidney biopsy data. We plan to share that information in early 2023, and we are collecting kidney biopsies also for patients who are naive or soon in the expansion cohort and that data will read out as the study progresses. We're very grateful to the patients for volunteering to have biopsies. -- kidney biopsies are not a minor thing to have and to have the patient have both their entry biopsy and then to come back later for another one, reminds us of our gratitude to patients and what they do to make this drug development possible. 
Ritu Baral: Are these 12-month classes or 18-month is...
Sandy Macrae: These are 6 months biopsies.
Operator: Please stand by for our next question. Our next question comes from Patrick [ph] with HC Wainwright & Co.
Unidentified Analyst: Just a couple of follow-ups. Just the first one is on the Fabry program. I'm wondering if you can discuss in more detail the safety and tolerability profile that you've seen so far in the program. And if you can talk more specifically what it is about it that has enabled you to avoid some of the side effects and adverse events that we've seen with some of these other programs in the space? And to what extent could these learnings be applied to current or future gene therapy or editing programs in development from the platform? 
Sandy Macrae: Thanks for your question. You don't really have much to say about the safety profile... 
Jason Fontenot: Which is good. So thank you, Sandy. Yes. So on the safety and tolerability side, as you've seen, we are doing extremely well. The patients are doing extremely well. We have not needed to treat any of the patients with steroids reactively. -- patients are not treated with steroids prophylactically. We continue to monitor patients. And as I mentioned earlier, we now have 7 patients, those at the highest dose cohort. So it's a question of monitoring these patients in the next patients. And I think what the clinical trial team has really been doing well is paying a lot of attention to the details around education around the infusion schedule. And so we're very pleased with the progress on the safety and tolerability side. 
Sandy Macrae: And we've used AAV6 now across the MPS trials, the hemophilia trials and now fabric. And so we've got quite a broad patient experience, and it is remarkably well tolerated even at 513. The only thing that we saw or we have seen in the hemophilia trial is occasional LFT events that are resolved quickly and easily with steroids. What's interesting is that we haven't seen any of these thus far in the Fabry trial. And the question must be why is that? And the truth is that we don't have enough experience yet and enough patients followed to understand why it is that why is that the cargo seems to make some kind of difference in this. 
Unidentified Analyst: Yes. That's helpful. And then just on the preclinical pipeline, just following up on some of the discussion earlier. There's many preclinical programs in the areas of CAR-Treg cell therapies for autoimmune disorder and as well a gene editing for neurological disease in many indications, both internal and with externally with partners. So I'm wondering if you could frame for us which program or programs do you think are perhaps not as well appreciated as some of these more advanced clinical programs? And when we could expect some of the next updates on those for some of these underappreciated programs. 
Sandy Macrae: Jason, you're very excited by the CAR-Treg programs and the CNS. Can you say which of your which ones you particularly would want to highlight? 
Jason Fontenot: Well, thanks, Andy. In the CAR T reg space, we've discussed the programs that we're moving forward in the preclinical space in multiple sclerosis and inflammatory vital disease. We believe that both of those areas are great opportunities for the therapeutic use of Tregs. And really, I'm excited about the advancement of both of those. Regulatory T cells offer the potential to kind of transform the treatment of autoimmune disease by targeting immune regulation to a specific tissue, for example, in the CNS for multiple sclerosis. -- and the ability to offer a durable long-term benefit to patients rather than constantly being treated with the medication for the lifetime of a disease. So it's really a -- the way we view the CAR-Treg platform is something that has the potential to transform the treatment of autoimmune disease, and we're very excited about those programs moving forward. In the CNS space, I'd say what's most exciting is the diversity of the pipeline. We have our zinc finger transcriptional regulators, which, just as a reminder, can either upregulate or down-regulate genes and those are being used in our collaboration with Biogen and our collaboration with Novartis -- in neurodegenerative diseases and neurodevelopmental diseases, respectively. We're very excited about the progress that's being made there. Our partners are really excited. I think the fact that those partnerships and those companies came to Sangamo acknowledges the amazing toolkit that we have. We're also advancing our own internal programs and Prion was highlighted, and we have several other nondisclosed programs that we're looking forward to share data with at the appropriate time. And on top of that, an area that I'm probably most excited about in the last year is the advances that we've made in our AAV capsid engineering work. So we have a very healthy effort in developing new AAV capsids that can deliver our zinc finger tools to the CNS, either by direct injection or via the blood through -- across the blood bread barrier. And we've made some remarkable advances there. Some of that data was presented at ASGCT earlier this year. And the teams that are doing those -- that work, those directed evolution studies to identify new capsids that are even more effective, have been continuing to generate exciting results. And so with those captives, it's going to open up even more space, indication space to go after more and more diseases because at the moment, really, the zinc fingers are working amazingly well and it's really a matter of getting those tools to the right cells in the body and getting the coverage that's necessary. And that's what the AV new AAV capsids that we're developing will afford. So we're super excited about that work as well. 
Unidentified Analyst: That's helpful. Thank you very much.
Operator: At this time, I would now like to turn it back to Louise Wilkie for closing remarks.
Louise Wilkie: Thank you. Thanks once again for joining us today and for everyone's questions. As a reminder, you can access the earnings release and presentation on the Investor Relations section of the Sangamo website. We look forward to keeping you updated on our future developments. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.